Operator: Ladies and gentlemen, thank you for standing by and welcome to EchoStar Corporation Conference Call for First Quarter 2022 Results. [Operator Instructions] Now, I would like to welcome Mr. Terry Brown. Sir, please go ahead.
Terry Brown: Thank you. Good morning, everybody and welcome to our earnings call for the first quarter of 2022. I am joined today by Hamid Akhavan, our CEO and President; David Rayner, COO and CFO; Pradman Kaul, President of Hughes; Dean Manson, General Counsel and Secretary; and Ken Carroll, EVP of Corporate Development. As usual, we invite media to participate in a listen-only mode on the call and ask that you not identify participants or their firms in your report. We also do not allow audio recording, which we ask that you respect. Let me now turn the call over to Dean for the Safe Harbor disclosure.
Dean Manson: Thank you, Terry. All statements we make during this call, other than statements of historical fact, constitute forward-looking statements made pursuant to the Safe Harbor provided by the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-K for the year ended December 31, 2021 filed on February 23, and our subsequent filings made with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. I will now turn the call over to Hamid.
Hamid Akhavan: Thank you, Dean and good day everyone. I am pleased to participate in my first EchoStar earnings call, and I look forward to interacting with many of you in the future. As some of you are aware, Anders Johnson, our Chief Strategy Officer and President of EchoStar Satellite Services, has decided to leave EchoStar to pursue other interests. We wish Anders great success in his new endeavors and would like to thank him for his tremendous contributions to our company over the past 11 years. Our agenda for the call today is to have our team provide a brief overview of the first quarter. Following the overview, I will make some general comments on the business and competitive environment. We’ll then move to a question-and-answer session. Let me now turn it over to Pradman.
Pradman Kaul: Thank you, Hamid. Starting with North America, we continue to manage our U.S. consumer broadband sales and marketing efforts to optimize service to the existing subscriber base. The Hughes team has several initiatives underway to help maximize returns in the U.S. consumer segment. In Q1, we adjusted the HughesNet service plans giving customers more data and increasing monthly fees. The new plans are being implemented across the U.S. base and are intended to provide a better customer experience and higher ARPU. Another initiative in the consumer sector is an innovative product, which combines geo satellite and terrestrial LTE connectivity. This is a first-of-its-kind consumer-grade hybrid geo and LTE technology that creates a faster, more responsive Internet experience. Plans are well underway to bring this technology to select markets this summer. Our North American enterprise group signed a significant contract with a new retail customer to provide secure SD-WAN services at their 700 locations. We also closed upgrades and extensions with several customers in the pipeline industry. Our defense business received new orders from the U.S. Space Force and Navy. And in the civilian government sector, we received an award from the Department of Veteran Affairs to continue to provide satellite services in support of its VA Knowledge Network, and an extension of the digital signage solution for the Social Security Administration’s 1,900 offices. Activities. OneWeb remains robust, and the team continues a very active deployment phase for the global gateways to support OneWeb’s global service launch. We announced another distribution agreement with OneWeb, this time to deliver LEO services to the U.S. DoD. In another exciting development, the satellite – at the SATELLITE 2022 trade show in March, our engineers demonstrated a revolutionary new electronically steered antenna for OneWeb service. Focused on the government and enterprise market, the sleek new ESA has no moving parts and a very low profile, ideal for fixed and mobile connectivity. So, let’s talk a little bit about our international operations. The HughesNet offering in Latin America, like that in the U.S., continues to be capacity constrained in certain areas, while usage remains high. These markets are also being impacted by adverse economic conditions. In response, the team has adapted our strategy to pursue more high-value enterprise and government projects and community WiFi sites. An example, during this quarter, the team won two new school projects in Latin America using JUPITER System equipment and capacity. Five service providers in Mexico selected JUPITER equipment to connect more than 7,000 Internet access and community WiFi hotspots. We also crossed more than 2,300 active Hughes Express WiFi sites. And we announced a successful pilot of a community LTE project in Brazil, which uses geo satellite backhaul to connect an LTE tower to the ethernet. All of these projects represent tangible progress on our plans to increase our yield on our Latin American capacity. The Jupiter 3 satellite continues to progress at Maxar. Maxar has provided an updated schedule and we now expect to launch Jupiter 3 in the first quarter of 2023. This delay is due in part to reallocation of critical resources in Maxar to a higher priority, government-related spacecraft project. Although we are disappointed with this delay, we remain highly excited about Jupiter 3 as it will bring significant additional capacity to our markets as well as the ability to offer high-speed service plans as demanded by our customers. All in all, I was very pleased with the execution during the quarter. Let me now turn the call over to Dave.
David Rayner: Thank you, Pradman. Good morning, everyone. Our revenue in the first quarter of 2022 remained strong and was higher compared to the same period last year and also higher compared to the fourth quarter of 2021. While the growth of our consumer broadband business has been impacted as a result of our capacity constraints and other factors, we have continued to increase revenue by capitalizing on enterprise and government opportunities, both domestically and internationally. However, this change in our revenue mix has and will continue to put some pressure on our margins. As Pradman mentioned, we have several initiatives in place to limit the impact of this change and we will remain prudent in the efficient management of our business, protect our margins until we can monetize the additional capacity provided by the Jupiter 3 satellite. Free cash flow, defined as adjusted EBITDA minus CapEx, was $54 million during the quarter, increasing $47 million from the same period last year. Our balance sheet remains one of the strongest in the industry, and we continue to seek opportunities to deploy cash for growth. In the first quarter of 2022, we bought back 1.5 million shares of our stock in the open market at a cost of $35 million. Let me now turn the call back over to Hamid.
Hamid Akhavan: Thank you, Dave. I want to begin by thanking my leadership team here at EchoStar and all of our more than 2,000 employees around the world, not just for a warm welcome to me as a newcomer but for maintaining a solid track record of performance as evidenced by today’s results. As we all know, the satellite industry and I would venture to say the broader telecom industry, where I have spent a great portion of my business life, is in the midst of its most rapid business and technological change in decades. We’ve seen the rise of competition as well as opportunities in every vertical market and in every region of the globe where EchoStar operates or serves customers. I’m excited about the dynamic nature of our industry as I view our position to be on the winning side of the equation given our strong resources, institutional heritage and financial flexibility. I know that there are questions about our long-term growth strategy, which I’m not prepared to address today, but I would like to mention that my leadership team and I are in the midst of a fresh reassessment of our resources and opportunities, and an examination of our industry and adjacent verticals with the goal to reignite and refine our corporate growth profile. But even based on a preliminary view of the situation, having been in my role just about a month today, I will assert that we are well positioned competitively. I say this for many reasons. First, we have a uniquely strong balance sheet, something that most of our peers and competitors cannot say. I think the benefit of this strong balance sheet becomes more evident as interest rates rise and as the likelihood of a recessionary environment becomes meaningful. Secondly, we have a global presence and trusted reputation worldwide. Industry partners and customers want to work with our team. Government and enterprises alike would prefer working with a trusted partner during uncertain geopolitical developments as we are experiencing today. Third, we have a tremendous, and I would say, unmatched asset in our engineering capabilities. And finally, we have unique S-band spectrum assets that provide strategic opportunities. I’m excited about accelerating our momentum in that domain, and I want to share a couple of high-level updates on initiatives we are focused on. For one, we are pleased that last month the wireless industry’s main standard setting association, the Third Generation Partnership Project, or 3GPP, reached completion of its Release 17. Release 17 is the first to include non-terrestrial networks, or NTN, and to address satellites role in the 5G global communication ecosystem. Satellite 5G specifications include direct access to handheld devices, enabling global service coverage. Because of its S-band spectrum assets, which are standardized in 3GPP, EchoStar is positioned to become a leading global operator of 5G mobile satellite services, addressing direct-to-device mobility and IoT applications. The other update is that EchoStar Mobile, our EU licensee, has begun pre-commercial testing of its satellite-based LoRa IoT service. EchoStar Mobile solution is the first real-time bidirectional LoRa satellite service with mobile and remote capabilities, and we expect it to transform the global satellite IoT market with new, very low-cost services and enhanced LPWAN capabilities. Now among the many countering challenges and opportunities shaping this industry, we can be happy about one key fact. We are one of the few companies with significant ability to chart our future independent of what other players in our industry may choose to do. I believe any solid and defensible growth strategy requires careful thinking analysis and planning to be sure the long-term risk/reward equation is asymmetrically favorable. And while we will take investment leads both organically and via acquisitions, the core business, the financial stability and independence will never be jeopardized. I hope to participate in investor events post our second quarter of ‘22 earnings call, and to share more about the specifics of our strategic direction over the coming quarters. Let me now turn it over to the operator to start the Q&A session.
Operator: [Operator Instructions] Your first question is from the line of Chris Quilty from Quilty Analytics. Your line is now open.
Chris Quilty: Hi, Hamid and welcome aboard. Question to start on the Hughes business and specifically around some of the new pricing initiatives. When was that implemented and does it still leave your general pricing strategy in alignment with other competitors in the market or are you now pricing at more of a premium?
Pradman Kaul: Well, we implemented it, I think, beginning in February for this year. And so we are beginning to see the impact. Some of the Q1 results clearly showed the higher ARPU, impact of this price increase. So, that’s going well. Now in terms of competitiveness, it’s fairly in the same range as our primary competitor and obviously, a lot – not long than the LinkStar offerings that are in the market today.
Chris Quilty: Understand. And I know that, whatever, we have about a year for the satellite to come online. But how do you – how and when do you begin to change the pricing plans to reflect the different types of service packages that will be offered with the Jupiter 3 satellite?
Pradman Kaul: It’s a little premature to talk about the plans that we will have with Jupiter 3. But clearly, we intend to give more bits to the customer. We intend to give higher speeds to the customer. And I think with the additional value that the customer gets, it should position us very strongly to be competitive in that market.
Chris Quilty: Great. Just overall on the Hughes business, you’ve had some really strong equipment sales. I assume the majority of that year-over-year lift is due to OneWeb gateways. How should we look at the equipment revenue out through the balance of the year? Is that activity starting to fall off?
Pradman Kaul: No. In fact, it’s getting stronger. Our new order input during Q1 was very good. So our backlog in that equipment business is high. So I would expect that’s going to be a strong part of our performance during the rest of this year.
Chris Quilty: Great. And you didn’t talk about the Bharti – well, I guess it’s Hughes Communications India, if I got the name right, the new Bharti JV. What is the plan there going forward now that that’s official and final? Are there any major changes in strategy that you...
Pradman Kaul: Yes. That’s an exciting part, I think, of our international business. As you know, we own 65% of that joint venture and Bharti Airtel owns remaining 35%. And we’ve already started working together to come up with strategies to provide things like backhaul – cellular backhaul. Bharti Airtel, as you know, is one of the two leading cellular service providers in India with over 400 million subscribers. So we expect that as 4G and 5G gets implemented in India, Bharti is going to have a lot of requirements for cellular backhaul to connect the new base stations with each other. And that business for – most of it should come to this JV, and we expect that to be a major part of our growth in India for the next few years. We also continue to supply equipment to Reliance Jio, which is the other major cellular company in India, and we hope to continue to grow that element of our business too.
Chris Quilty: And are there any near-term capacity concerns in the Indian market?
Pradman Kaul: No. I don’t think so. I don’t think we have any concerns right now. I think that the general tenor of the market in India, which was being run, unfortunately, which is highly regulated, has started changing. There is been major changes that the government has announced where they will create an organization very similar to the FCC called Indian Space – ISpA. And I think that will loosen up the regulatory issues a little bit. It’s not going to solve it out instantly, but I expect that there will be some nice advances in business in that area.
Chris Quilty: Got it. And final question on the ESA or flat panel antenna you announced. Can you give us a little bit of history there on the design of that product? I know in the past, you had partnered with Gilat and others on flat panels. What was the size, scale, scope expense of that project? And second question is, where do you expect it to be positioned in terms of price competitiveness with other antennas on the market? And is this solely intended for OneWeb or would you be willing to sell that to other parties?
Pradman Kaul: No. We certainly will sell it to anybody in the market. There is no exclusivity in our agreement with OneWeb. OneWeb is obviously going to be because they have a Ku-band LEO, a major customer and also a major user of this ESA. The original effort that we had done with Gilat didn’t really succeed very much. So we have not pursued that anymore. This ESA is totally developed at Hughes. All the elements are being manufactured initially at our Hughes factories. And we’re very excited, and our potential customers are very excited too because it’s a revolutionary new technology, no moving parts, very low profile, making it ideal for mobility and aeronautical applications.
Chris Quilty: So that brings up a question. If you designed it to the sort of aviation standards, then this is clearly not intended to be a product that could, in any way, serve the consumer markets and the consumer price index.
Pradman Kaul: Yes. No. It’s clearly – you’re absolutely right. It’s clearly designed for mobility markets, aeronautical being a big element of it, and high-end government markets, and also the enterprise – high-end enterprise markets.
Chris Quilty: Very good. Thank you everybody.
Operator: Your next question is from the line of Ric Prentiss from Raymond James. Your line is now open.
Ric Prentiss: Hi, good morning, everybody.
Hamid Akhavan: Hi.
Ric Prentiss: I want to ask a couple of questions. Sorry, busy earnings day. Back to back to back to back earnings calls. I wanted to ask Hamid a couple of questions. First, and apologize if this was asked or addressed, what specifically attracted you to the opportunity at EchoStar? As far as what you see in your first 30 days, what have you learned so far about where some of the growth factors might be?
Hamid Akhavan: Thank you, Ric, for the question. There were many factors that attracted me to EchoStar and Hughes family. First, I was familiar with part of the company. I had been a customer of Hughes some 25 years ago. And I was part of a very high-profile company, and Hughes was a technology and product supplier, and I was incredibly impressed by the capabilities of the company in terms of innovation, bringing in solid technology. I mean technology is at the heart, innovation at the heart. And I believe one of the best opportunities in today’s market and going forward is to bring disruptive technologies and great technical services to market. And I think the foundation here is extremely solid, and I was familiar with it, and in fact, familiar with many of the players, including Pradman here, sitting next to me. Other than that, I came from a private equity background, at least for the past 5 or 6 years in my life, I have been very, very actively involved in technology investments and TMT investments. When I look at the balance sheet here, I recognize that there is a significant opportunity for exposing value in the business that has been undervalued. Now I don’t want to set a high expectation that you will see something happen in a rash. I have never been a – I was never and I will never be a rash investor. I will never be a speculative investor. I’d like to use our best understanding of the environment and dynamics of the market, which we have been serving for decades, to use our balance sheet. But we will be more active in terms of using our cash and our abilities to expand our business using our resources. And as I mentioned in my earlier comments, I think the market is heading in a direction where opportunities will be cheaper and better to acquire. And I look forward to using our resources even more optimally as that happens. Long answer to your short question, but I thought that, that probably will cover three or four questions – follow-on questions, Ric.
Ric Prentiss: Exactly. Kind of open the door to potential acquisitions. What is it that Hughes/EchoStar really needs? Is it new regions? Is it new customer bases? Is it new technologies? Just kind of as you think of kind of a SWOT analysis, what are the strength, weaknesses, opportunities and threats that you look at? And that you see having a battleship balance sheet to put to work that might be at a very high level, something of interest.
Hamid Akhavan: Yes. So certainly, it’s not technology. I think we have plenty of technology in home. I’m not expecting or looking – it might happen in adjacencies, but in terms of how much technical power we have in-house, I think we have plenty to harvest. So that’s probably not a shortfall in anyway. If there are areas where we should be focusing on is how do we take these technologies into market, new markets, adjacent markets; how can we gain a scale where perhaps organically, it might take too long; can we accelerate in some of the areas where we have capabilities through acquisitions? So those are – routes to market and products to market to me would be the focus area rather than innovating new technology, which we have plenty of in-house, and we can do, I guess, at will. It’s not an inhibitor of our growth.
Ric Prentiss: Okay. Other one for me is a lot of times when new executives come into a company, their compensation package talks a lot about what the important metrics are. Can you share with us a little bit about if you’ve got some accomplishment goals that are tied to, say, revenues or EBITDA or free cash flow or return on capital? Kind of where is your incentive at? And what metrics are you going to be looking at from a personal selfish standpoint? Hey, I want to make sure we do well here because it will serve me well and hopefully serve the shareholders well as also.
Hamid Akhavan: Right. So I would say – I mean at the moment, obviously, the compensation packages are what they have been and published, and there is no plan to change that in the course of this year for sure. But I think what might – the way I think about this as the most effective is we are in the middle of our strategic evaluations and thinking, and it’s going to take us a few months to get to a platform where we feel it’s a fair space, let’s call it. And that will be the foundation for our compensation plans for the following year. So I think we’re just in time in terms of doing that work in preparation for incentive systems that would promote progress in the directions we want to go. So this is probably a good discussion to have towards the end of the year where we are a little bit more, I guess, orchestrated and organized around our strategic directions. Now I don’t want to say that we don’t have a strategic direction. We certainly will utilize what we have. And there is great, great plans around Jupiter 3. There are great plans around expansion of our products that you heard Pradman offer towards OneWeb and towards other government sectors. And so there is a significant amount of strategic work that has been done and we are executing on. So the job is to accelerate that. I think we could do this in, hopefully, on our S-band area and certainly in the directions that we have seen progress already. We just want to double down. So this would be more of an acceleration rather than complete back to a blank sheet of paper, which certainly is not necessary here.
Ric Prentiss: Great. Thanks. I will let some others ask some questions and come back if there is time. Thank you. Welcome to the space, Hamid.
Hamid Akhavan: Thank you.
Operator: Your next question is from the line of Caleb Henry from Quilty Analytics. Your line is now open.
Caleb Henry: Hi, everyone. Just two or three questions from me. The first is on the flat panel antenna that was discussed earlier. Is that already something that EchoStar is selling and shipping? Or is that still in development? And if so, when is its release date?
Pradman Kaul: It’s still in development. We’ve built a prototype and done some prototype demonstrations with the first few units. We should be in production early next year.
Caleb Henry: Okay. And what’s your target price range for that?
Pradman Kaul: I don’t think we’re discussing our price strategy at this stage. We will obviously see what the market is like for the different applications. So I don’t think we are ready yet. But what I can tell you, though, is if you just look at the bill of materials, it should be very competitive with other units that we have seen in the market so far.
Caleb Henry: Okay. Pradman, will I have you – is there any plan to procure – I heard in the past, EchoStar has leased capacity from other operators when kind of capacity constrained. Do you anticipate any more capacity leases between now and Jupiter 3?
Pradman Kaul: We’re constantly looking at that and people who have excess capacity, especially over North America, are talking to us. But unfortunately, we haven’t yet seen economically compelling deal from any of those guys. But if we can come up with one, I’m sure we would evaluate that and – because it can only help our business. But the economics are tough, and it has to make sense economically.
Caleb Henry: Okay. And then my last question, regarding S-band, and I guess some of the progress with 3GPP, I was just wondering if that gives any clarity to EchoStar regarding your LEO constellation. I think there is the one IoT QSat in orbit. Have any of the plans been fleshed out for what that future system will look like?
Hamid Akhavan: It’s a bit too early for us to answer that, but I can certainly say that the developments on 3GPP and a 5G inclusion for satellites in that standard opens up clearly a few angles and routes to monetize in our spectrum assets, which we are deeply analyzing and looking at. Certainly, this was not a news to us that happened yesterday. We have been part of that activity ourselves and have been very supportive of that, with a view that it would be helpful in terms of bringing satellite connectivity to pockets, which is – they are already there. So, we are excited about it. There is still quite a bit of work to be done, not just by us, but also the rest of the industry trying to figure out the technology, build and commercialization of that. But from a framework of the opportunity, I think the clarity is there. And then we understand that this will happen. And we – in one form or fashion, we will participate in that, and the question is exactly what, and please allow us a quarter or so to – maybe two quarters to – for us to kind of shape that and share that with you in more detail.
Caleb Henry: Okay. That’s all my questions. Thank you guys and welcome to the industry Hamid.
Hamid Akhavan: Thank you.
Operator: Your next question is from the line of Nitin Sacheti from Papyrus Capital. Your line is now open.
Nitin Sacheti: Hi guys, hope you are doing well. Just quickly, could you maybe give us a sense of, given the delays in Jupiter 3, maybe the cadence of CapEx over the next year? And then maybe just talk through – just given where the stock is, just talk through some of what you mentioned earlier, Hamid, on kind of new capital projects and sort of what the hurdle is there versus continuing to sort of aggressively buyback stock. And then the second question is really – I know we have talked about this in the past, but anything you can tell us around Jupiter 3 and sort of enterprise or wholesale opportunities, whether it’s mobile backhaul or anything else that could sort of come on quickly versus just a ramping of consumer subscribers?
David Rayner: Let me address the first part of that. This is Dave Rayner. From a CapEx standpoint, I would expect CapEx to be somewhat below where we were in 2021, so probably in the $400 million range. A significant portion of that is continuing to go into CPE for consumers. And that will – on a per customer basis, we will probably start ticking up in the second half of the year as we start deploying a new generation of modem in anticipation of J3. But we also, as you correctly point out, will have final payments on J3 as well as launch and other ground infrastructure that will be completed this year. I will let Hamid and Pradman address the rest of the question.
Hamid Akhavan: Maybe I can comment on the hurdle rate. In terms of an investment hurdle rate, I am not anticipating that we would have a very specific target because part of that is a function of the market. But I did mention earlier that I believe we might do even better in terms of our opportunities in a market – in a more down market or recessionary market. I am not looking forward to that from a personal perspective, and I hope that – from economic growth perspective of the market, I hope that is not a long-lasting something – anything. But if it turns out that the market is heading towards softening, and we have seen the tech sector and the adjacent sectors to us are becoming a little cheaper. You have seen the valuations come down to more historical levels as opposed to just recent times that have been a bit overinflated. So, I think that if the market is heading our way, let’s put it that way. But will we trade buying our own shares versus the acquisitions, well certainly, our desire is that we shifted towards acquisitions from outside and growth of existing customer base. But we always have the option of coming back and making sure that our – picking up our own shares if we think they are significantly undervalued. You will see us hopefully more active. Again, I don’t want to set expectation that after 90 days, maybe in the job, the market has changed so much or I changed the company so much that – that would be a little too exuberant and too rash. But you can certainly accept that the focus is very high on making sure we utilize our resources most efficiently.
Pradman Kaul: Was there another piece of this question, if you don’t mind repeating that, please?
Nitin Sacheti: Yes, of course, Pradman. It’s just around enterprise opportunities or wholesale opportunities for Jupiter 3 – early on since we are only now a year away versus sort of the consumer ramp that we saw – consumer subscriber ramp we saw with Jupiter 1 and 2.
Pradman Kaul: Yes. Sure. I think clearly, the two major new applications we see in the enterprise sector is cellular backhaul and the community WiFi. Both of them use the fact that we can increase the productivity use of our bandwidth and get a higher price for every hertz of bandwidth that we have in these two satellites. So, that’s probably the primary difference. We will, obviously, continue to serve the enterprise market and continue to serve the defense markets and then add on these two other markets to it.
Nitin Sacheti: Okay. Thank you. I appreciate it.
Operator: Your next question is from the line of Ric Prentiss from Raymond James. Your line is now open.
Ric Prentiss: Yes. Hey. Thanks. Appreciate some follow-ups. I want to ask – obviously, Anders has announced that he is resigning effectively in about four weeks or so from now. Can you walk us through a little bit about how you see that playing out in the ESS and the S-band work? How deep is the bench? And what does it mean as far as our thoughts on what Anders leaving means to that segment and the potential growth?
Hamid Akhavan: Right. Well, first of all, I want to thank Anders for his great contributions to the company in the past 11 years. He leaves a great legacy here, and he also leaves a great, great team behind. We have a very deep bench in-house in that area. So – and I personally have interest in being involved in every aspect of developing that practice. I do have, as I mentioned, some technical background myself. I started my career as a telemetry engineer in S-band for a NASA satellite. And so the love of S-band has always been in my heart. And – so I guess, a long way of saying, I don’t think you should see us as having lost or losing critical resources. Anders was incredible in terms of his leadership, but we will rally around our team here, and I will contribute my own personal attention to it to make sure that nothing gets reduced there. If anything, we are shifting more resources there in order to make sure we are keeping up with the opportunity that is every day getting better in that space. So, please don’t read anything to it in terms of negative aspects other than we have a very good team, and that team is interfacing with me directly at the top level of the business.
Ric Prentiss: We saw some press releases fairly recently about DISH, sister company DISH, and EchoStar Hughes working on a Department of Defense contract jointly. Can you share with us a little bit of details of what kind of partnerships are of interest between the sisters of DISH and EchoStar/Hughes that might pan out over the coming next few years?
Pradman Kaul: Yes. Clearly, this is a very exciting part of new opportunities in our business. And we are working with Hughes being prime – EchoStar/Hughes being prime and DISH being the subcontractor along with other people. It’s a naval base where we are providing a 5G network at the base. And it’s going to be interesting to see how that element of our business grows because it’s a new area for us to enter. So, the work is just started, and it’s – hopefully, we will try to take it to the next step over the next few months.
Ric Prentiss: Speaking of DISH, many of us will be attending their first Analyst Investor Day at DISH, almost 20 years since a major Analyst Day at DISH. And certainly, one of the investor thoughts on both DISH and EchoStar is not much communication with The Street. Hamid, as you come in, hopefully, we are looking forward to a lot more communication as you get longer in the seat there. But how do you think about communicating with The Street? I will throw one more out there as well. As an underfollowed stock, there is a lot of gaps in knowledge. Any thoughts about even high-level guidance targets or growth targets, I was on two other earnings call this morning where companies were updating their guidance or talking about their guidance. Any philosophical problems with providing at least aspirational targets or kind of longer term targets, because as an underfollowed stock, it certainly causes people to have a lot more concerning questions.
Hamid Akhavan: I appreciate your question, but it would be imprudent, and you would not – you should not rely on it if I give you any guidance after 30 days in a job. If I give it to you…
Ric Prentiss: I know, is it something you consider doing?
Hamid Akhavan: Certainly, if I say anything right now would be not having a solid foundation and you would not trust it anyway. Let me – please allow me to have a bit more understanding of the business. Look, I can – I will obviously never make a comment on DISH regardless, so that’s a different public company that we have an arm’s length relationship with. I think we do have connection at the Chairman level. But honestly, that’s just about it. The rest of it is business as we would do with any other company. But I like DISH from a perspective that they are doing innovative things in their space. They are building new things. And they are bringing new technologies to market. Some of those things hopefully are relevant even for us, like some of the Open RAN, and some of the things they are doing, which ultimately on a 3GPP basis and deployment basis is also applicable to our business here at EchoStar. So, I think we see a lot – I see a lot of synergies in terms of their innovation and what they are bringing to market, and what we hope to bring to market. I think that’s just about it. And I certainly cannot give you any guidance or change any guidance today. But let’s revisit this question again in a quarter or two quarters where I am more comfortable sharing.
Ric Prentiss: It makes sense. And I guess the other piece of that question is just related to DISH is finally opening the kimono [ph] and sharing with an Analyst Day/Investor Day, what’s kind of their plans are and what their vision is. As you look at Jupiter 3 on the schedule now for first quarter ‘23, the S-band hopefully getting more clarity on that. Do you see, in the future, a possibility of EchoStar maybe even hosting an Analyst Day to kind of get people up to speed on what Jupiter 3 is and what S-band really are just to kind of help people kick the tires and understand where you are headed? Again, not in the next day or two days or even maybe the next quarter or two quarters, but it is something philosophically that you would be interested in?
Hamid Akhavan: Yes. Certainly, one of the things we like to do – I would like to do is to have more interaction with the market. I think one of the things that we can benefit from is being more interactive with you, being more communicative. I believe we have – if you just look at our balance sheet, if you look at the structure of our company, I think we have more valuable information and assets and products to expose to you. So, it is my intent that we increase our interaction with you. But as I have mentioned in my earlier standard comment was that I need a quarter or two quarters for us to be sure that when we take your time and we share something with you, it’s valuable and you can rely on it. But we are heading in the direction of being more communicative and more interactive with you and more open with respect to our opportunities.
Ric Prentiss: Great. I appreciate it. So, those are my questions. Thanks guys. Stay well.
Operator: There are no further questions. Presenters, please continue.
Terry Brown: Okay. I think we want to thank everybody for joining the call today. And we want to – with that, we want to go ahead and conclude the meeting. So, we look forward to talking to you next quarter.
Hamid Akhavan: Thank you everyone. See you soon.
Operator: And with that, this concludes today’s conference call. Thank you for attending. You may now disconnect.